Operator: Good morning, everyone; and welcome to the Darling Ingredients Incorporated Conference Call to discuss the Company's Second Quarter 2018 Financial Results. On the call today are Mr. Randall Stuewe, Chairman and Chief Executive Officer; Mr. Brad Phillips, Executive Vice President and Chief Financial Officer; and Melissa Gaither, Vice President of Investor Relations and Global Communications. After the speaker's opening remarks, there will be a question-and-answer period and instructions to ask a question will be given at that time. Today's call is being recorded. I would now like to turn the call over to Melissa Gaither, Vice President, Investor Relations and Global Communications for Darling Ingredients. Ms. Gaither, please go ahead.
Melissa Gaither: Thank you, Brendon and good morning, everyone. Thank you for joining us to discuss Darling Ingredients' earning results for the second quarter ended June 30, 2018. To augment management's formal presentation, please refer to the Presentations section of our IR website for the earnings slide presentation. Randy Stuewe, our Chairman and CEO, will begin today's call with an overview of our second quarter operation and financial performances, focusing on year-over-year comparisons and will discuss some of the trends impacting our business. Brad Phillips, Executive Vice President and Chief Financial Officer, will then provide additional details about our financial results. Finally, Randy will conclude the prepared portion of the call with some general remarks about the business and the year ahead, and after which we'll be happy to answer your questions. Please see the full disclosure of our non-U.S. GAAP measures in both our earnings release and earnings slide presentation. Now, for the Safe Harbor statement; this conference call will contain forward-looking statements regarding Darling Ingredients business opportunities and anticipated results of operations. Please bear in mind that forward-looking information is subject to many risks and uncertainties, and actual results may vary/differ materially from what is projected. Many of these risks and uncertainties are described in Darling's Annual Report on the Form 10-K for the year ending December 30, 2017, our recent press release announced yesterday, and our filings with the SEC. Forward-looking statements in this conference call are based on our current expectations and beliefs, and we do not take any duty to update any of the forward-looking statements made in this conference call or otherwise. I will now turn the call over to Randy.
Randall Stuewe: Thanks, Melissa. Good morning, everybody and thanks for joining us. Operationally we delivered us all a second quarter with results improving over the 2017 period and sequentially. Our core business was supported by strong global slaughter activity and excellent execution. DGD delivered solid earnings part entering it's anticipated shutdown, our expansion projects and recent acquisitions contributed as well. As reported, we incurred three notable non-recurring costs during the quarter that reduced net income by approximately $54 million creating a loss of about $30.4 million or about $0.18 a share. Normalized to exclude these three events our adjusted net income was $17.7 million or $0.11 per diluted share. These costs were a result of several strategic actions we took during the quarter to strengthen our portfolio and to drive sustainable growth across our global platform. Let me comment about each one of them; these included restructuring and impairment charges associated with the closure of our Argentina gelatin facility, up $15 million U.S., persistent headwinds from our Argentina struggling economy along with an unfavorable long-term outlook drove our desire to realign our Rusalov [ph] network. A significant portion of the sales from our Hurlingham facility will be filled from our system and we anticipate a long-term positive impact to our ongoing earnings. Secondly, we recorded a loss on the sale of our industrial residuals business that was known as terror renewals services. To refresh our memories, we acquired this business in mid-2013. The assets acquired included a land application business which is what we sold and approximately seven used cooking oil collection locations which were not included in the sale. During the appraisal process the majority of the value was attributed to the land app business and only a small portion was applied to what is now a very successful and profitable used cooking oil collection business, thus we took a write down of $15.5 million. And finally, as we discussed on our first quarter call we incurred debt extinguishment cost associated with the refinancing of our euro bonds which significantly lowered our long-term borrowing costs and extended the bonds maturity. Brad will cover a little more of the detail of those restructuring cost during his financial review. Now let's move to the segment specific updates. The feed segment; our feed ingredient segment executed well and delivered strong operating margins through disciplined execution across all of our geographies. We saw improved raw material volumes which were up 5.6% year-over-year and spreads were managed well. Our protein conversion operations in North America, China and Europe all reported solid results. While fat prices were significant weaker during most of the quarter we did see fat prices in North America strengthen near the end of the period supported by the expected £1 billion of new demand per year that our Diamond Green Diesel operation will require once it's back online. Fat prices in Europe remain soft due to the strong slaughter and weak demand from their biodiesel sector as it struggles to control the displacement caused by the dumping of Argentina biodiesel. Ultimately, we expect the E.U. to rectify the situation later this year and we expect to see stronger fat prices globally as our feedstocks growing popularity to fulfill the low carbon fuel demand around the world. On the global protein side, demand for higher grade species specific proteins to supply specialty pet food and aquaculture customers drove improved finished product pricing year-over-year and on a sequential basis. Ruminant meat and bone meal continues to struggle globally as it fights for market share but ultimately solid soy meal demand around the world should offset the supply push driven by the large slaughter and summer feeding season. During the quarter we also announced the acquisition of Kruger commodities with locations in Michigan, Iowa, and Nebraska; we are extremely pleased with this acquisition and these facilities are already contributing to the feed segments performance. These assets are a strategic fit for our business and will help us capitalize on expanding out footprint in the Midwest in both, specialty protein conversion and used cooking oil collection. Additionally, we have several growth projects in the segment that will begin to contribute later this year or early next. First, our great plan Texas protein conversion facilities now on the back end of construction and it's anticipated to commission in early December. [Indiscernible] Nebraska poultry operations has broken ground and should be operational mid-2019 while our Hickson, Ontario poultry conversion facility recently completed a major expansion and is now operational. Our JV within tracks-on [ph] called EnviroFlight is advancing on-schedule towards it's goal to open as the largest black soldier flight facility in North America. The facility is built in a modular manner to allow for expansion based on market demand. Phase 1 will open around Q4 this year and will have the ability to produce 900 metric tons of product for Europe and is designed to scale on upto 3,200 metric tons shortly thereafter. Now the food segment; the food segment results for consistent when adjusted to account for the closure of our Hurlingham, Argentina gelatin factory. As I mentioned, the majority of the Argentinian sales were repositioned to our other 11 factories worldwide. Rusalow, our global gelatin and collagen business, our strong global demand and improved results in China, South America, and the North American market. Our specialty collagen product called peptone is proving to be a meaningful part of our portfolio, and we are reviewing opportunities for future expansion projects to meet the rising need for this high demand product. Additionally, improved raw material availability should lower raw material pricing and help us deliver improved margins in the coming quarters. In Europe, lower palm oil market pressured sales prices and spreads in our Sonac edible fats business. Raw material pricing adjustments are in process and margin should return to historical levels in the coming quarter. Looking at the segments growth projects this quarter, our two new peptone plants in Emporio, Brazil and Anglum, France will be online during Q1 of 2019; based on the strength of that market we expect these to be meaningful and strong contributors in the future. Now turning to the fuel segment; in the fuel ingredient segment our portfolio business has executed well, leveraged operational efficiencies and favorable pricing to report consistent earnings, both sequentially and year-over-year when adjusted for the 2017 blenders tax credit that was received and recorded in the first quarter 2018. Renback [ph], our European disposal rendering business capitalized on ample raw material volumes and produced consistent results. Ecosun, our European bioenergy business leveraged beneficial market conditions to generate solid contribution to the segment. Our new Belgium digester continues to ramp up to full capacity and bolstered our results. Based on the performance of this business and demand outlook for the Dunder Lou [ph] digester, we are already exploring an expansion of this facility. North American biodiesel benefited from the higher low sulfur-diesel pricing and Canada biodiesel held near breakeven without the Boehner tax credit. Once again there is a great deal of support in Washington D.C. and from our trade groups to extend the blenders tax credit for 2018 and 2019. When we adjusted our operating model to our operating strategy to reflect the improved profitability, we remain very optimistic that the tax credit will ultimately be reinstated in 2018. Now moving to Diamond Green Diesel; our 50-50 venture with Valero to produce premium and low carbon fuel additives. This facility entered expansion and turnaround phase in early June. The facility reported entity EBITDA of around $1.5 a gallon on sales of about 34.8 million gallons. EBITDA for gallon for this quarter was lower than our $1.25 target due to supply chain penalty cost and higher operating cost that show associated with the earlier shutdown as well as hedge losses on our heating oil positions. We have achieved mechanical completion of the facility now and we are in the early stages of commissioning. We expect to be online in mid-August with a quick ramp up in production to the run rate of 275 I gallons per year. Lastly, spot margins for our fuel additive remain attractive in the $1.30 to $1.50 per gallon with yellow CFIF markets in California reaching a new high of around $190 per metric ton based on the Jacobson index. Premium LCFF markets are expanding well beyond California into several other U.S. states, Canada and European markets now including Norway, Scandinavia, and Central Europe. Given the tone of the market and the delay in start-up, we remain optimistic for the full year of 2018. We believe that $1.25 per gallon EBITDA margin on sales to still be very achievable. As we wrap up in the final accounting on the expansion, we anticipate an additional partner dividend of somewhere around $75 million up to $100 million for the balance of the year. With this, I'll turn it over to Brad and come back for some highlights after Brad's financial review. Brad?
Brad Phillips: Thanks, Randy. For the second quarter 2018 we reported consolidated net sales of $846.6 million, a decrease of 5.4% compared to the 2017 period, primarily due to the reclassification of bill freight for the new revenue standard and the deconsolidation of our European best tied [ph] subsidiary in which we sold out of our majority interest position of 60% ownership to 40% which was recorded in the first quarter. We posted a net loss in Q2 of $30.4 million or a net loss of $0.18 per diluted share compared to net income of $9.1 million or $0.05 per diluted share for the 2017 second quarter. The net loss reflects debt refinancing expense of $23.5 million related to the euro bond refinancing, a loss of $15.5 million from the sale of torrential [ph] services subsidiary and $15 million of restructuring and impairment charges incurred as a result of the Hurlingham, Argentina gelatin plant closure. Excluding these items adjusted net income of the second quarter 2018 was $17.7 million or $0.11 per share. Gross margin for the second quarter was 22.9% compared to 21.9% for the same period last year. Gross margin improvement benefited from the request of the bill freight which was somewhat offset by lower fat prices. SG&A during the quarter decreased by 7.1% to $78.6 million compared to the year ago quarter. SG&A was lower partially due to favorable FX hedging. For the remainder of 2018 we project SG&A expenses to be in the $84 million to $86 million range per quarter. Depreciation and amortization expense increased $5.5 million in the second quarter of 2018 to $78.5 million as compared to the same period in 2017. The increase is primarily due to higher capital expenditures for organic growth projects. Interest expense was $23 million during the three months ended June 30, 2018 compared to $22.4 million during the three months into July 1, 2017, an increase of $0.6 million. The $0.6 million increase is primarily due to the change in foreign currency translation rights on the company's euro denominated senior notes as compared to the prior year. Other income and expense had a $5 million favorable variance with $1.2 million income compared to $3.8 million expense for the second quarter of 2017, primarily as a result of gains recorded from insurance proceeds on casualty losses, a decrease in non-service cost components of pension expense, and a decrease in hedge and effectiveness expense on cash flow hedges. Now, I'll address our tax expense for the quarter. The company recorded income tax expense of $1.7 million for the three months ended June 30, 2018. We had a negative effective tax rate for the three months ended June 30, 2018 of 6.1% which is lower than the federal statutory rate of 21% due primarily to the impact of certain losses and put in the TRS sale in the shutdown of our Argentina gelatin plant that provided no tax benefits. Excluding the impact of these losses another second quarter discrete items, the effective tax rate is 27.7%. We also paid $10 million of income taxes in the second quarter. For 2018 we are projecting an effective tax rate of 25% including our 50% share of Diamond Green Diesel's 2017 biofuel tax refund. If the biofuel tax refund is reenacted for fiscal year 2018 before the end of the year, the effective tax rate is projected to be 15%. Finally, we are projecting cash taxes of approximately $15 million for the remainder of this year. Moving to our balance sheet; our cash position ended the quarter at $104.1 million, our leverage ratio for the second quarter 2018 was 3.31, down from 3.71 in the prior fiscal quarter, primarily due to the company paying down $44 million on our debt obligations, receipt of the $25 million Diamond Green Diesel dividend and favorable period and foreign exchange translation on the 550 million euro denominated bonds. Working capital improved in the second quarter versus the first quarter but remained higher than fiscal year end 2017, primarily due to elevated inventories. Our liquidity remains strong with approximately $950.4 million available under our revolving credit facility, and we expect -- continue to expect to pay down a total of $100 million during 2018. CapEx was $139 million for the first six months of '18 compared to $127.8 million for the 2017 six month period. Finally, we settled our refinancing tender of our previous 515 million, 4.75% euro notes due May 2022 by issuing 3.58% euro notes due May 2026, thereby extending maturity, lowering borrowing costs, and maintaining a natural hedge for our euro denominated cash flows. With that, I'll turn it back over to Randy.
Randall Stuewe: Thanks Brad. Clearly we're watching record crops and mature in the U.S. while we're seeing significant droughts in parts of Europe and Australia. Care of threats and counter-retaliations continue to create uncertainty and several disruptions but overall demand globally remains robust. Global meat production in fact continues at record levels, our capital growth projects are creating momentum in new regions and expanding our market share in existing geographies. As part of our world of growth strategy we are focused on building, acquiring and developing businesses and geographies where we can achieve a top three market position within five years for food, feed and fuel. One of the most notable projects is building a second train at our Diamond Green Diesel joint venture. We are nearing our final investment decision on the Phase 3 expansion of Diamond Green Diesel to take it to 600 million to 700 million gallons annually, and it fully funded the final cost estimates in a detailed engineering requirements. We expect to make a final decision and announcement on it later this fall. Overall 2018 is off to a great start and we're carrying solid momentum into the third quarter. Our teams continue to focus on safety, seamless execution and providing the best products and services to our customers. We have built significant momentum during the past several quarters and continue to take specific critical actions to improve the performance across our portfolio of businesses. We remain committed to growing our businesses and deploying and rationing capital when appropriate. We're also committed to our corporate social responsibility and we have enhanced our disclosures around environmental and social and government's metrics. As we talk about our sustainability commitment and the impact of energy greenhouse gas emissions and water usage, we have worked on collecting data to support our key performance metrics in these three areas. We included a few slides this time in the appendix section of the quarterly earnings presentation to describe the significant impact Darling has on carbon capture and water production by the nature of the protein conversion process to service the meat industry, and through our renewable diesel production at Diamond Green Diesel. We will continue to provide meaningful metrics for measuring our success and continue to look for improvements. As a testament to our world of commitment efforts, we are pleased to see that we are ranked # 2 in the Russell 2000 Green Revenue Index as of June 2018. As I've said in the past, Darling was Green before Green was cool. To close this quarter demonstrated the value of our core business structure, our innovative drive to invest in new technologies, our efforts to optimize operational efficiencies, and the commitment of our management team to take steps to drive value for shareholders or creating value added services for our customers. My hat is off to the team who continually execute against the plan to put Darling Ingredients in a position to capitalize on food, feed and fuel markets as they emerge and grow around the world. With that Brendon, let's go ahead and open it up to Q&A.
Operator: [Operator Instructions] Our first question comes from Heather Jones with the Vertical Group.
Heather Jones: I wanted to focus my questions on Diamond Green and I was wondering if you could give us the sense of the magnitude of the hedging loss and the hit from -- I think you said a supply chain disruption -- just if you could give us a sense of those items in the quarter?
John Bullock: When we buy our fat, we have to buy it long before it actually moves out as a finished product, then we hedge primarily in the heating oil market with that. Because we're not allowed hedge accounting on that particular transaction, we get the money back one way or another as we move the finished product out. And I think the number in Q2 was just a few million dollars on the hedging loss here. As far as the supply chain disruption -- yes, we made some accommodations to some of our customers for a little over $2 million because of just the timing of Diamond going down than we wanted to make sure that we -- because their long-term customers only maintain good relations.
Heather Jones: And what about the operating expense because -- when I look at the $1.05 and then look at where the LCFS average for the quarter -- I mean do you -- your $1.05 came in well below just the LCF much less production economics. So I'm just trying to -- it seems like those operating costs were meaningfully higher than normal and just trying to get a sense of what that was and how should we be modeling that for the first part of Q3?
John Bullock: I'll just give you the dynamics here. Our higher fixed cost per gallon because of lower gallons would have been $0.05 a gallon. Our higher cash processing cost because of some demolition expense that we had that we expensed rather than capitalized, and we also took the opportunity to take our existing tanks and to clean them out to make sure that we had them well conditioned ahead of the expansion to Diamond was another $0.04 a gallon. The supply chain adjustment was $0.08 a gallon and your hedge in lipo adjustment was $0.03 a gallon.
Randall Stuewe: But I think it's also important Heather that -- also kind of clear up a couple of things; number one, as we've said, we are not receiving a 100% of the LCFS market today, I think eventually we will and then we're optimistic on our ability to negotiate that. So remember just as we scaled into the road and pipeline contracts when we started at Diamond Green Diesel as a transition now away from those contracts to the LCFS markets, the percentage of those markets that we're receiving continues to increase and will continue to increase in 2019 and 2020. And so that's a little bit of it. I think as we go back and just to kind of reaffirm what I tried to say in the original script was that we believe that we will achieve the $1.25 and it looks the $1.27 and $1.28 per gallon as an annual run rate by the end of the year as we scale into the markets more production and the higher LCFS and get some of the one-time non-recurring operating costs associated with the kind of an extended shutdown behind us.
Heather Jones: So are you saying a $1.25 run rate by the end of '18 or you will achieve a $1.25 in '18?
Randall Stuewe: No, we're saying annualized for the year if you take the gallons produced by the EBITDA sold, it will equal or exceed a $1.25 a gallon is what we're looking at, that's my -- that is the basic weighted average math of the first quarter, second quarter, third quarter and then the full run rate achieved in the fourth quarter.
Heather Jones: So is there -- can you give us a sense of when we should -- when we could do production economics, or let's just say ULSD minus some transportation cost, minus operating cost, minus feedstock and then add the LCFS and add the rent [ph] -- when that would be the calculation that we would look at to estimate your margins as opposed to there being some deduction to the -- given to partners that serve [ph] -- like when will that be the math for Diamond Green's EBITDA per gallon?
Randall Stuewe: A shorter way of answer, when are we going to receive a 100% of the LCSF?
Heather Jones: Yes.
John Bullock: Obviously, our specific contractual relations we have with our customers, we would consider to be confidential in lieu of respect their desire to having be confidential as well. I can tell you that each year as we go through this, we receive a greater and greater percentage of that LCFS, we see that pattern happening '18, we know it's going to happen in '19, and we're in the process of making it happen in 2020 as we speak. So we are receiving a greater share of what has been a rising LCFS price ever since we started to market the LCFS market is where we recall early on, we had to share what the pipeline contracts that we had in place, they are all off at this point in time and done; so now we are marketing to the LCFS market to California, as well as other LCFS markets around the world, and we are receiving a greater and greater share. It's going to be very difficult for us given the confidentiality that we have with our customers to provide guidance on exactly what percentage of that LCFS we're receiving but it's a vastly improving percentage each and every year.
Heather Jones: I just want to make sure are we -- is there besides the amount you split with your partners, customers and all; is there any other part of the earnings equation at Diamond Green that has changed materially or is it just that number enough -- increase going forward, is there any other thing that's changed in DGD economics?
John Bullock: No, the thing that is changing for Diamond is what we get in relationship to the wins [ph] and what we get in relationship to the cash credit, all that remains it has been in the past, what's changing is that we are receiving a larger share of the LCFS that's been a pattern that has happened every year started in '17, has continued in '18, will continue in '19 and will continue into 2020 we believe.
Operator: Our next question comes from Tom Palmer with JPMorgan.
Thomas Palmer: You mentioned in the earnings release that you're considering an even larger Phase 3 expansion at Diamond Green Diesel; could you discuss the considerations that will ultimately determine the right plan size to construct? And does the size of the plant in any way affect the timeline for final approval and completion?
Randall Stuewe: I think we started out with preliminary engineering at the 550, maybe upto 600 level. We're looking right now as -- it's basic vessel size and hydraulics of the facility for a little more capital in the sense to take it on upto the -- the maximum size could be 700 million of another train here. So that's -- we're looking at the cost differential between if you will 600 and 700 now, and we'll see what it comes out here as we -- I think I want to say by the end of September, October 1, the final detailed engineering cost estimate is due in. As everyone knows out there that that's involved in heavy manufacturing, the price of metals, steel, aluminum, copper continues to be highly erratic and volatile; so we're trying to do the best we can to bring in the cost estimate for approval here. I think at the end of the day from our perspective, and I can't speak for Valero but if you look at the margins that are achievable in here and the cost per gallon that it costs to put the expansion here all in, I think around $2.50, $2.60 a gallon is what we spend all in now on the $2.75 train [ph] that will be able to come in well below that on the cost per gallon on the major expansion or the Phase 3 or as we call it, super diamond within the family here. So I think it's pretty simple to look at that if you're saying it cost you $2.25 whatever it is at the end here to build the facility in your margins or somewhere between $1.30 and $1.50, it's really not a hard decision as long as the regulatory environment that's out there continues to be as positive and as we think it will be moving forward here. So we see global demand around the world, you know, this is not just a California play, this is a global play, the logistics of our facility located on the water that can load out by ship, by barge, by pipeline, by rail -- it is going to give us a significant advantage to -- with our supply chain of the lowest cost and highest carbon feedstock in the world for production. So I think it's -- I can't tell you it's a 100% go right now but on an excel spreadsheet it looks pretty darn attractive.
Thomas Palmer: And I just had a quick follow-up on the unit economics; I just want to make sure we don't get ahead of ourselves here for the third quarter. And how much of these costs that weighed on second quarter Diamond Green Diesel should recur in the third quarter? I just wanted to clarify that piece.
Brad Phillips: While the supply chain issue is largely over and second quarter maybe a little bit of a hangover in third quarter. The higher cash processing cost, we're obviously not going to be operating at 100% in third quarter because we're still in the commissioning phase at this point in time. We don't anticipate it's going to be nearly as much as we saw the second quarter and right now the third quarter where we see the market being what would put us -- as Randy said, well back inline on-track to make $1.25 for the year.
Randall Stuewe: Yes, I think Tom you can -- as we said, you can take the $1.19 a gallon, $1.05 a gallon, and then if you plug to $1.25 on the -- through $1.27 on the back half of the year you can back into this thing pretty easy.
Operator: Our next question comes from Adam Samuelson with Goldman Sachs.
Adam Samuelson: Maybe continuing a little bit on Diamond Green and the expansion and the impact on the market and there is both the near-term impact as going to 275 and then further down the road, going to 600 million to 700 million gallons; just want to talk a little bit about the impact it has on your feedstock markets? And stats [ph] and thinking about how that spread -- the used cooking oil spread and the poultry grease [ph] and tallow spreads to soybean oil and food grade vegetable oil starts to look like? And do you start to see some of those spreads narrow into some of the margin if -- so the upside comes out and Diamond Green goes into the base business, if you talk about it more broadly, how much of those non-edible fats at this point are not going into biodiesel or renewable diesel production -- how much do you think it starts to pull into the vegetable market?
Randall Stuewe: Number one, I think those are -- that's a lot of good questions hidden in there and I'll do my best, and then John will help me out here by either step in-bounds or out-bounds on some of the stuff that we believe. Number one, as we've said all along Diamond Green Diesel was invested in by our board on the belief that it would add value to our fats and used cooking oil stream, and that was a strategic decision made years ago, almost what five years plus now. It's done that -- if you look at it, we've seen fats move up slightly above the core equivalent to corn. Clearly, it's hard to see right now given the -- with Diamond Green down but once it comes back up it will be apparent again. But we've moved the caloric relationship anywhere from $0.03 to $0.05 above the old Darling if you will, so we've had a very positive impact in my sense on that moving forward. The second thing is today -- you know, somewhere less than 40% of the fat that's being processed, the Diamond Green Diesel comes from the Darling system, that's why we're so comfortable biggie-sizing Diamond Green and going to the next phase. And at the end of the day, will we have a positive impact on the core business? Yes, we firmly believe we will as we start to need 5-6 billion pounds of fat or 40% of the production of the U.S. of waste cooking oils, used cooking oil, corn oil down there. So I think we'll have a pretty -- we'll have some impact there, how much it will we'll wait and see. Now the next question which makes it's very different than the biodiesel business that is primarily or plus 50% dominated by veg oil or soybean oil is that given the carbon status of both, used cooking oil and animal fats, they are the preferable feedstock for the California and the global reduction programs for carbon in the world. So just because feedstock goes up doesn't mean that the margin compression, it's very very different; I think we remain fairly optimistic that we'll be able to manage that spread on out overtime and receive not only a bigger portion of that, if not all of the LCFS premium but we'll be able to maintain a lot of that margin even if feedstock moves up going forward. So I don't really see much of an issue here, I mean what we've said and as John and the Valero team have laid out the second train, it's being built adjacent as we show in a picture in our earnings call slide to the facility, it creates another access by the CN railroad, we're going to be opening up a ship loading and unloading facility there; so the facility has both inbound and outbound logistical arbitrage ability to originate not only fats from the U.S., fats from Europe where we're one of the largest producers, fats from Australia, fats from South America to facilitate that facility. At the end of the day, it can also obviously run soybean oil. So if you said in a perfect world at the end of the day, if we ran animal fats and used cooking oil up to veg oil equivalents, it can run that product too and at the end of the day there is a pathway for soybean oil although it's what 50% or whatever versus the 18 and 23 that used cooking or animal fats have; so that's still an option. John, you've got anything you want to add to that?
John Bullock: No, I mean -- I think a couple of other questions here that have been around -- have we analyzed the supply and demand of having a 600 million to 700 million gallon renewably facility and we have done this in great detail over the past year, not only us but Valero and we've looked at the marketplace, we've looked at the raw material supply, we've looked at the facility, we've looked at the location, and we are comfortable that as long as the cost estimate comes inline, and as long as the government program remains supportive of renewable fields that Diamond Green Diesel is not only capable off -- but is an ideal location in which to put a 600 million to 700 million facility.
Adam Samuelson: To talk on the base business and the capital outlook; can you remind us the CapEx outlook for this year -- kind of maintenance versus growth, and any thoughts on what the growth capital on the books for 2019 looks like at this point?
John Bullock: Randy and Brad will correct me if I'm wrong here but essentially, we'll still look at the base capital admittedly as we grow the number of facilities out here, that number starts to edge up a little bit more but I think 185, 195 is the maintenance CapEx; this year we've got -- I think a 334 program that includes the [indiscernible], the Wahoo [ph], the facilities that includes the finish out of the Dunder Lou digester that started up here in second quarter, it includes some other expansions that Hickson, Ontario, it includes the peptone plant and Angulum, France, it includes the Emporio peptone spray dryer in Brazil; so those are all the projects or the big ones that are out there. So that's it for right now, so 334 -- I suspect will be down a little bit next year. I think -- if we say what's the target, kind of 250 and that moves around give or take, we continue to look for the world and look around the world for opportunities to grow, so -- but that's kind of the organic side of the expansion projects right now.
Operator: Our next question comes from Craig Irwin with Roth Capital Partners.
Craig Irwin: Randy, I wanted to get your view on the potential conversion for the biodiesel cash credit from what it is today, a $1 gallon blenders credit to what many in industry have asked for which is a producer's credit. The obvious benefit is it would get push next day out of the California market and make many more of those LCFS credits available to domestic producers, and hopefully, tighten up the market. Do you see this is likely? Is this something Darling's advocating -- what are you hearing from your representation?
John Bullock: We support the cash credit, we believe that the right thing for American farmers and American consumers that one of the cash credit -- moreover to accept either blenders oil producers cash credit who I think is likely and we think is likely from our representation in D.C. they it will convert to our producers cash credit, no, it's highly unlikely that that's going to happen simply because there are too many conflicting interest when you change it from a blenders to a producers cash credit. And once these programs get structured in a particular fashion, it is often difficult to change them.
Craig Irwin: And not to [indiscernible], that's already been covered a couple of times here but the feedstocks for the expansion -- the next phase of the Diamond Green -- would you consider more vegetable oil, is it something that maybe soy or canola could have an advantage for you? There is people that say that canola oil particularly on the West Coast should be nicely profitable into LCFS markets. How do you evaluate feedstock supply for the next phase of Diamond Green or Diamond too? Global fats, this is going to be a big source of demand for the market, particularly in the U.S. If you could shed a little more color there?
Randall Stuewe: Yes, I mean -- I'm hearing the music of a giant sucking sound down there and it's just music to my ears. I think at the end of the day we sit back and we look at it -- you've got to look at it from the customer's eyes, meaning the purchaser of the fuel additive, and obviously they're going to want to pay more for the UCO product that we can make, then they will pay a little bit less for the talo product that we make at least today. And then the pathways for the veg oil as you're talking about are quite a bit up, fifth of 0.5 -- I mean whatever 50%, John knows the exact numbers. So at the end of the day, we're going to fill up Diamond Green Diesel with as much UCO and animal fats that we can, I think obviously the facility has had it's choice of buying the best and most favorable economically and quality-wise feedstocks over the first five years of it's life, the next billion pounds of fat that heads down there would be expansion, it will dip into a little more of our high acid material but probably not all of it as it will still be able to originate corn oil and UCO. And then once it goes on up to the 600-700 level, it will clearly take in my opinion the majority of the low quality animal fats as long as the metal counts in them are managed down there. And then from there we'll see if it needs to buy any veg oil; so John, you've got a different opinion on it or…
John Bullock: No, I think the important point about Diamond is the location and the process. I mean, that we can process any type of fat that's available to us out there or nearly any type of fat that's available to us out there. And the location means that we can competitively supply many of the low carbon field markets in which we are currently going to or want to go to. So that puts us in a position where as the market moves forward and we recognize that we will be substantially increasing the demand for fats, but we also know that the demand for low carbon fuels is increasing around the world, and quite frankly, the prices for those low carbon fuels are increasing around the world. That facility at Diamond is massively flexible, it's got the ability as Randy said earlier to bring fat in by real truck and water, and we can move the renewal diesel out by water rail or pipeline. We're going to have the ability to hit whatever is the best market, and we're going to have the ability to utilize whatever is the best feedstock. And that means that the facility can adapt as the marketplace adapts around us, and that is why we believe long-term it can be a great great asset and have sustained profitability.
Craig Irwin: And then just a quick last question on the future asset. So does the potential for aviation fuels to participate in the renewable fuel standard factor into the potential format and output of Diamond 2 or the big Diamond? And are you hearing anything from the market about the possibility of us having maybe blend rates of Renewable Hydrocarbon Diesel -- Green Diesel into jet fuel as a way to bring down the excessively high sulfur counts and lack of environmental compliance today?
John Bullock: Absolutely, we hear a lot of talk about that and I think there is going to be a lot more renewable -- so that it's going to be used in jet fuel. At this point in time, the expansion plans -- the current expansion plans for Diamond and the super Diamond expansion plans do not include processing jet fuel, the economics simply aren't there that make it better than supplying road fuel. If those economics become better so that it is desirable to sell jet fuel, it's a relatively minor conversion to be able to make that plant capable of that. But at this point in time, we have -- upto this point in time, [indiscernible] anything from an economic perspective that tells us we're better off making jet fuel than we're on making road fuel.
Operator: Our next question comes from Ken Zaslow with Bank of Montréal.
Ken Zaslow: How much of the LCFS credit that has moved up -- do you think that has any impact on you guys because of you guys taking capacity off or do you think that is -- what do you think the key dynamics that LCFS credit at the current levels would be?
John Bullock: The key dynamic to the LCFS levels is that it went from 3.5% to 5% on the gasoline pool but still held at 3.5% until the litigation clears for this year. And then next year it's going up even further, so what's happening in California is as we have an increasing LCFS demand as those targets continue to improve and increase going forward upto now the 20% by 2030; that means that more credits are going to be required to fulfill the market for the deficits that are being created by the use of petroleum fields, and we are going to see that pattern continue going forward. There is absolutely no doubt that California is going to need a significantly greater credit generation to meet the goals and what they have established and have in place until 2030; that's the driver. Diamond being down for 30 or 45 days or 50 days or whatever -- that's just a temporary blip, the LCFS in our opinion is not up because Diamond is down, it's up because the demand that's being driven by the program established by California.
Ken Zaslow: John can you comment for the call here a little bit on the discussion on Café [ph] standard and what's going on in California and the challenges?
John Bullock: Yes, obviously there has been a lot of press recently that the EPA is going to go after California as a waiver. Really the issue here that we understand that California is going -- that EPA is going after is today there is different engine requirements in California and other states that have joined California. Then there is another part of The United States, the automobile manufacturers obviously don't like that because it means that they have to manufacture a couple of different types of cars to be able to sell into the various markets. We don't see that particular issue as having a negative impact on what's happening with the LCFS program. In some ways it may actually have a positive impact because it means that the renewable fields have to do more of the work to reduce the carbon emissions that the State of California has legislated that they want to have happen. And so there has been a lot of discussion, a lot of smoke around this particular issue, we don't see that as fundamentally changing what's going to happen with the LCFS program.
Ken Zaslow: And then may I just -- you usually give a little bit of an outlook for the food and feed EBITDA for the rest of the year and into 2019 can you give a little color to how you're seeing -- how it's going to progress throughout the year?
Randall Stuewe: Ken, have I ever given guidance?
Ken Zaslow: You usually give a lot of color.
Randall Stuewe: No, I think if we go back and kind of dissect the script a little bit and to talk about the segments -- I see a pretty consistent operating environment for the segments going forward in the third quarter. Third quarter is always a little bit of a challenge in the sense of fat quality in North America, I mean we've been hotter than hell this summer, the plans get a little challenged there. We've seen fat prices kind of rebound a little bit in late in June, we're starting to capture a little more of that but conversely we've seen what I'm going to call the high-end proteins or species-specific proteins, their premium margin structure is contracted a little bit, a little bit of that's driven by just the supply push that's going on, the summer pet pack season that goes on, and then at the end of the day we've got a little bit of what I'm going to call tariff overhang or hangover that's going on out here, no one knows exactly if what the roulette that the trump administration is playing is, are they really going enact and when that happens. So you've got a little bit of pressure on proteins right now, fats are improving, I think we'll call bottom of fat prices in Europe right now; so I think we'll see some improvement there. And at the end of the day the food segment -- clearly, we had a lot of noise in those food segment numbers with the Hurlingham asset going down. So I see improvement there for the quarter in the food segment. And then the fuel segments are most consistent operating units, and so at the end of the day it should be pretty consistent.
Operator: Our next question comes from Bill Baldwin with Baldwin Anthony Securities.
Bill Baldwin: Randy indicated that additional $75 million to $100 million dividend perhaps could be coming to this year, is that for Darling or is that combined for Darling and Valero?
Randall Stuewe: That would be that Darling entity. I think we've affirmed that we think we'll pull upto $100 million, maybe a little more out of it this year. We're still going through the final accounting if you will of what the expansion here -- obviously, trying to get up to run rates and then -- and go from there, that doesn't really address whether the blenders [ph] tax credit comes back in retro. I mean as I commented before, we remain optimistic, our team will be involved with meetings again next week, educating the different representatives and senators on the importance of it to our industry, and there just feels like there is momentum within the parties right now to get something done before the mid-terms, whether that happens or not, who the heck knows. So, but no -- short answer to your question is, we'll affirm we think we'll have a $100 million, we could have a little more out of there depending on the timing here of both, the run rate and whether or not the blenders [ph] tax credit comes in.
Bill Baldwin: And Randy, does that assume that this expansion that's being completed here this year is funded out of cash flow or are you going to be incurring some additional debt on the joint venture to support both, the CapEx and the dividend?
Randall Stuewe: No, I think right now while the final cost estimate is nowhere near complete, the assumption underneath it is that we will fund it out of cash flows of the business, and so that's one of those things that says we should have -- obviously, the dividends are fairly well known for '18, the dividends depends on both, the LCFS markets in the blenders tax credit for '19 but there should be significant dividends in '19 again, and '20 will be the year that we pay for the new factory.
Bill Baldwin: And however, talking here looking at little bit -- how do you see the product that Diamond Green Diesel being impacted by the IMO 2020 regulations assuming they go into effect on low sulfur bunker fuels for the maritime vessels?
John Bullock: We love demand for diesel fuel because obviously we planned the diesel fuel. So we believe that this is going to be a strong demand element for diesel fuel. As we all know, diesel fuel is the very foundation for our pricing structure out of Diamond Green Diesel, so we see it as a positive and can't wait for 2020 to get here.
Bill Baldwin: So closely hard to quantify, you would expect some kind of additional premium there or at least increased pricing for your product when that becomes effective in 2020?
John Bullock: Yes, it's hard for me to know exactly what each of these components would look like for 2020. And there are -- there is always so much volatility around the individual components around for noble feel [ph], I've kind of learned over the years not to get too precise in terms of what I think is going to happen with these individual components but what I do pay great attention to is whether or not the trend is favorable in terms of the pricing for our product and the margin for our product, and I would definitely classify this development as positive for the pricing and the margin of our product.
Operator: Our next question is a follow-up from Heather Jones with the Vertical Group.
Heather Jones: Just two quick follow-ups. One, you mentioned species-specific plans in your feed business and I was just wondering, I know you have made a lot of -- take a lot of steps there; I'm just wondering if you could give us a sense of what proportion of your plants now are species-specific?
Randall Stuewe: I don't know that I can give you exact portion, I mean, what you're -- I have not thought through that from that perspective, Heather. I mean I can tell you we've realigned a lot of our factories, all those kind of -- both here and in Europe to make sure that we're making the products, the major retail pet food companies, and aquaculture companies around the world want; and so that's code for saying that at the end of the day some that you can't -- you've got to separate the poultry from -- if you will the route material that we pick up at grocery stores here in the U.S. in North America. So I mean over the last couple of years we've converted San Francisco to an all-white or poultry meat plant, L.A. the big expansion out there is both, we've got a red meat side and we'll soon hereby fourth quarter have a full blown chicken line out there, Fresno is all beef, Paul [ph] is all pet food beef; Bellevue is all pet food beef. So at the end of the day, I don't know -- probably 50%, 60% of the factories now where we can that are non -- what I call non-city plans are going species-specific to the degree we plan, we just completed -- taken feathers out of our Turlock [ph] plan and put in a feather line there, and we've done several other modifications in Europe to make what I'm going to call a higher quality, more digestible, more preferred product. So we're -- it's all about getting a little more margin here. The plants that struggle that as I made in my comment and I know struggle is probably too strong a word but you know, ruminant meat and bone miller [ph] is the least preferred protein in the world today; and so really it's what's driving the export side or if you look at the pricing relationships there, they are down historically to their normalization or normal spread to soya meal, and that's because at the end of the day we're all trying to serve really poultry markets in the Pacific Asia back room area today; so -- and at the end of the day we saw more material in Europe that was traditionally going to be incinerated or put to fertilizer now come back into the feed markets and that product's been off to market for 20 years, and for the European side which we're very much a part of to immediately go out and try to market that product after they've had different uses for it for many years that weren't necessarily feed, and now to tell everybody else that it's okay for feed, it has caused quite a bit of havoc in that market; so that's driven a lot of our behavior too that makes basically poultry, porcine and beef facilities.
Heather Jones: And then my final question is just on Diamond Green, the fats buying; so like how much fat did you all -- how much supplies did you bring into the take down of the plant because we have seen fats pricing go up but once the facility is online, it's a pretty dramatic increase in the feedstock demand for the entire industry. And so I'm trying to get a sense of when should we expect to a more meaningful step-up in fats pricing?
Randall Stuewe: Heather, if we'd known your address we would have parked a couple of trucks and railcars in your house. So obviously, going down in early June and coming up here right now, and then John referenced that we took some -- both, demolition expense and cleaned out a bunch of tanks there. We kind of went down and left some empty -- and now we're back -- filling back up, we also had quite a bit of material and offsite storage here to take advantage of what we saw to be or would be a rising feedstock market. So I think while I can't speak for -- and don't want to tip our hand to when our team will be back in the market to buy but at the end of the day we went down with a pretty good pipeline. As John said, we've always got 60 days inbound to us down there in anytime. So some time here later this quarter will be – it will start be ramping back up again.
Randall Stuewe: This concludes our question-and-answer session. I would like to turn the conference back over to Randall Stuewe for any closing remarks.
Randall Stuewe: All right, thanks everybody, great questions today and look forward to bringing you upto speed on our progress here in November. So have a great summer and holiday season. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation, you may now disconnect.